Operator: Hello, ladies and gentlemen, thank you for standing by for the Four Seasons Education's Fourth Quarter and Fiscal Year 2021 Earnings conference call. [Operator Instructions] Today's conference call is being recorded. 
 I will now turn the call over to your host, Ms. Olivia Li, Investor Relations Manager for the company. Please go ahead, Olivia. 
Olivia Li: Hello, everyone, and welcome to Four Seasons Education's Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. The company's results were issued via Newswire services earlier today and are posted online. You can download the earnings press release and sign up for the company's e-mail distribution list by visiting the IR section of our website at ir.sijiedu.com. 
 On today's call, Ms. Joanne Zuo, our Chief Executive Officer, will start by providing an overview of the company's performance highlights for the quarter. Ms. Xun Wang, the company's Vice President of Finance, will provide details on the company's financial results and business outlook before opening the call for your questions. 
 Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's prospectus and its annual report on Form 20-F as filed with the U.S. Securities and Exchange Commission. 
 The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. 
 Please also note that Four Seasons Education's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Four Seasons Education's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. 
 I will now turn the call over to our CEO, Ms. Zuo. Please go ahead. 
Yi Zuo: Thank you, Olivia, and hello, everyone. Thank you for joining our call today. This fiscal year has been unusual and unprecedented in many ways, largely due to the COVID-19 pandemic. Despite the challenges we faced throughout the year, we have been proactively optimizing our operations and cost offerings to maintain competitive advantages in a tough market as we endeavor to prepare our business toward long-term sustainability. 
 In the fourth quarter of fiscal 2021, we are pleased to have concluded the year with a robust business recovery momentum, as market demand for our effective academically focused curricular and superior learning experience remains strong. We continue to outperform our revenue guidance and achieved a 26% year-over-year increase in total student enrollment during the quarter, underscoring our solid recovery trajectory. 
 Our heavy emphasis on curriculum design and the development distinguished us as a trusted partner of choice for students in their pursuit of our academic and intellectual excellence. In addition, our exceptional educational resources and well-versed tutors with strong academic background ensure that our adaptive curricula and effective educational programs resonate with students' needs, helping them meet their desired learning outcomes and academic goals throughout the unprecedented year. 
 We are also very excited to see a set of accelerated enrollment retention rates across our class offerings for the spring season in Shanghai-based learning centers, as they reach some of the highest levels in our record history. Heading into fiscal 2022, we are more confident than ever that we are on the right track to further improve our operations and return to our pre-pandemic growth trajectory. 
 Student enrollment in our middle school programs maintained its growth momentum with a 78% year-over-year increase in the fourth quarter. Further demonstrating our curriculum development capabilities to capture market dynamics in the fast-evolving after-school education landscape. 
 Our proven track record of delivering tangible learning outcomes enables us to generate a broader appeal for our well-aligned middle school course offerings and further cement our foothold in the after-school education market. In order to strengthen learning engagement and student loyalty, we continue to feature a wider spectrum of co-curricular and extracurricular programs, such as winter camps on writing, mathematical thinking, intangible culture, heritage, et cetera. 
 As part of efforts to expand our educational service portfolio, we have collaborated with community service providers to establish a community-based study room chain brand, the best learning space, which aims to deliver a wide range of educational programs, such as educational salons, study planning, self-study rooms, et cetera. We will also leverage the best to host various education-related events across online and offline venues to tap into a broader base of lifelong learners. 
 Additionally, we will cooperate with tech-focused Internet companies such as Tencent to explore the possibilities of delivery intelligent education to various consumers. Our learning space will support our endeavors to reach a wide student base and their daily and basic learning needs. Furthermore, our efforts to optimize our nationwide learning center network continued during the quarter as we add a new center outside Shanghai, a further  testament to the growing organic demand for high-quality K-12 after-school tutoring services across the nation. 
 Going forward, we'll continue to enhance our stellar cost and service offerings in the K-12 after-school market to propel sustainable business development while simultaneously exploring new growth avenues. Also in the best-in-class educational programs and a strong tutoring team, we're confident in our ability to serve a broader user base in the pursuit of better learning experience while delivering long-term value to our shareholders. 
 With that, I will now turn the call over to our Vice President of Finance, Ms. Xun Wang, who will discuss our key financial results. 
Wang Xun: Thank you, Joanne, and hello, everyone. Now let's move to the financial results. Revenue was RMB 70.2 million for the fourth quarter of fiscal year 2021 compared with RMB 71.1 million in the same period of last year. Cost of revenue decreased by 9.4% to RMB 41.9 million for the fourth quarter of fiscal year 2021 from RMB 46.3 million in the same period of last year. Gross profit increased by 14.1% to RMB 28.3 million for the fourth quarter of fiscal year 2021 from RMB 24.8 million in the same period of last year. 
 General and administrative expenses decreased by 29.0% to RMB 28.3 million for the fourth quarter of fiscal year 2021 from RMB 39.8 million in the same period of last year, primarily attributable to the allowance accrued last year. Impairment loss on intangible assets and goodwill was 0 for the fourth quarter of fiscal year 2021 compared to RMB 145.4 million in the same period of last year. Sales and marketing expense increased by 10.2% to RMB 8.5 million in the -- for the fourth quarter of fiscal year 2021 from RMB 7.7 million in the same period of last year. 
 Operating loss was RMB 8.5 million for the fourth quarter of fiscal year 2021 compared with RMB 168.2 million in the same period of last year. Adjusted operating income loss was RMB 1.9 million for the fourth quarter of fiscal year 2021 compared with RMB 15.1 million in the same period of last year. 
 Other income, net was RMB 0.6 million for the fourth quarter of fiscal year 2021 compared with RMB 4.9 million in the same period of last year, primarily due to investment fair value change and foreign exchange loss. Income tax expenses was RMB 4.7 million for the fourth quarter of fiscal year 2021 compared with benefit of RMB 15.7 million in the same period of last year, primarily attributable to the valuation allowance of deferred tax assets recorded in the fiscal year 2021. 
 Net loss was RMB 11.5 million during the fourth quarter of fiscal year 2021 compared with RMB 145.4 million in the same period of last year. Adjusted net loss was RMB 4.2 million compared with RMB 4.7 million in the same period of last year. 
 Basic and diluted net loss per ADS attributable to ordinary shareholders for the fourth quarter of fiscal year 2021 were both RMB 0.25 compared with both RMB 3.11 for the same period of last year. Adjusted basic and diluted net loss per ADS attributable to ordinary shareholders were both RMB 0.09 compared with both RMB 0.07 for the same period of last year. 
 Cash and cash equivalents. As of February 28, 2021, the company had cash and cash equivalents of RMB 410 million compared with RMB 404.7 million as of February 29, 2020. 
 To be mindful of the length of our earnings call for the fiscal year 2021 financial results, I'll encourage listeners to refer to our earnings press release for further details. 
 Looking forward, for the first quarter of fiscal year 2022, the company expects to generate revenues in the range of RMB 67.5 million to RMB 70.4 million, representing an increase of 15% to 20% on a year-over-year basis. The above guidance reflects the company's current and preliminary view, which is subject to change. 
 This concludes my portion of prepared remarks. We will now open the call to questions. Operator, please go ahead. 
Operator: [Operator Instructions] As there are no further questions now, I would like to turn the call back over to the company for closing remarks. 
Olivia Li: Thank you once again for joining us today. If you have further questions, please feel free to contact Four Seasons' Investor Relations through the contact information provided on our website or the Piacente Group Investor Relations. 
Operator: This concludes this conference call. You may now disconnect your line. Thank you.